Operator: Greetings, and welcome to the Lattice Semiconductor Fourth Quarter and Full Year 2025 Earnings Call. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rick Muscha, Vice President of Investor Relations. Thank you, Rick. You may begin.
Rick Muscha: Thank you, operator, and good afternoon, everyone. With me today are Ford Tamer, Lattice's CEO, and Lorenzo Flores, Lattice's CFO. We will provide a financial and business review of the 2025 and the business outlook for the 2026. If you have not obtained a copy of our earnings press release, it can be found at our company website in the Investor Relations section at latticesemi.com. I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to documents that the company files with the SEC, including our 10-Ks, 10-Qs, and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This call includes and constitutes the company's official guidance for the 2026. If, at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as a press release or a publicly announced conference call. We will refer primarily to non-GAAP financial measures during this call. By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company's performance and underlying trends. For historical periods, we've provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com. Let me now turn the call over to our CEO, Ford Tamer.
Ford Tamer: Thank you, Rick, and welcome everyone to our fourth quarter and full year 2025 earnings call. At the end of 2024, we told you what we were going to do, and over the last year, we did what we said. We accomplished that by delivering on our commitments, stabilizing the business, normalizing channel inventory, improving execution, and positioning Lattice to capitalize on two of the most powerful secular trends shaping our industry: data center AI and physical AI. As we begin 2026, I am most excited to see that low-power FPGAs are being widely adopted at an accelerating rate, becoming the everywhere companion chips. With the Super Bowl still fresh on everyone's mind, I will use a sports analogy. The primary processors GPUs, custom AI accelerators, CPUs, and MPUs are the system's most valuable players or MVPs. These MVPs are powerful, but they cannot win a game, let alone a championship, without a team. And Lattice is that team. We provide the FPGAs, those everywhere companion chips, that perform many of the critical system functions. These include boot, fire sequencing, security, control, IO expansion, board and rack management, leak detection, power and cooling, bridging, sensor aggregation, sensor fusion, preprocessing, and many other valuable system functions.  We do this across both data center AI and physical AI. We do this across all major markets – communications, compute, industrial, automotive, aerospace, defense, medical, and consumer. And we do this across some of the world's fastest growing applications: security, rack management, communication, quantum cryptography, humanoids, industrial automation, logistics, robotaxes, space, and AR/VR wearables. Those powerful companion chips provide pervasive interoperability across all these vital functions, markets, applications, and diverse suppliers. You can consider Lattice as Switzerland for data center and physical AI applications. The other big benefit of our companion chip strategy is that it drives sustainable, diversified growth across all markets and applications, which is helping us to deliver on our financial targets. And this companion role becomes foundational as AI workloads push system-level complexity higher and higher and drive to faster time to market. As AI servers disaggregate into processor boards, networking cards, security cards, power and cooling modules, storage, and other specialized blades, FPGAs show up everywhere in the data center. We are also seeing the same trend accelerating in physical AI. Intelligence is moving closer to the sensors where data is created. A single robot can have multiple vision sensors, including image, LIDAR, radar, and infrared, requiring fusion, aggregation, and preprocessing. In addition, humanoid robots could have dozens of motors requiring high precision and low latency control. Companion FPGAs sit beside those sensors and actuators to synchronize high bandwidth vision streams with real-time motion and deliver deterministic responses. Instead of software running on a microcontroller, Lattice FPGAs do this in hardware, making it easier to guarantee the same cycle accurate responses every time. Finally, in some cases, FPGAs can also serve as the primary compute, such as signal processing, real-time networking, and what has come to be known as far-edge AI. We, at Lattice, define Far Edge AI as near-sensor contextual AI with tiny or small self-contained models. And our momentum is building. For example, we recently won a design in a human-machine interface or HMI industrial robotics, and we are seeing the pull for applications under one tops and under one watt. We came out of our recent global sales conferences with strong momentum, reinforcing our optimistic outlook for 2026. We are seeing accelerated design win momentum in both data center AI and physical AI, and we are excited about the future ahead with our Tier 1 customer deployments. Now, let me turn to the numbers. In Q4, we delivered $145.8 million in revenue, up 9.3% sequentially - our strongest sequential performance in seven years - and up 24.2% year-over-year. Full-year revenue of $523.3 million was in line with expectations. Looking ahead, our Q1 revenue guidance of $165 million at the midpoint, representing over 37% year-over-year growth, reflects our confidence in a strong recovery and accelerated momentum. Our Q1 EPS guidance of $0.36 at the midpoint represents nearly 65% year-over-year growth as we expect to continue to deliver earnings growth that is faster than revenue growth. As you can see, we've got a lot of positive operating leverages. We are operating on mature nodes, which means our capital spending is more reasonable than competitors on advanced nodes. And this allows us to drive significantly faster EPS growth than revenue growth. New products remain a key driver for our long-term growth. In 2025, new product revenue grew approximately 70%. We remain on track for new product revenue to reach the mid-20% range as a percent of total revenue in 2026, entering the year with strong momentum as Nexus and AVANT adoption continues to broaden. Given the scale of the opportunities ahead of us, Lattice is investing for the future accordingly. Our 2026 slogan, "Go Big, Be Great," reflects our ambition and our commitment. We are making investments across silicon, software, systems, operations, and infrastructure to support growth at scale and to extend our leadership in small and mid-range FPGAs.  In summary, 2025 was a year of disciplined execution and meaningful progress. We stabilized the business, built tremendous momentum in data center applications, advanced our product and software roadmap, and significantly improved operational performance, including the normalization of channel inventory. We entered 2026 with high confidence. That confidence is supported by a strong backlog, durable data center demand, industrial market returning to growth, expanding companion use cases, and continued new product ramps. Our focus remains on differentiated innovation, deeper customer engagement, and delivering long-term shareholder value. With that, I will turn the call over to Lorenzo for a comprehensive review of our fourth quarter and full-year results. Lorenzo?
Lorenzo A. Flores: Thank you, Ford, and good afternoon, everyone. We will begin with a brief overview of our 2025 fiscal year performance, including our fourth quarter, followed by our first quarter 2026 outlook and our current framing of fiscal '26. For the full year 2025, we are pleased to report that Lattice delivered on expectations with revenue, gross margin, operating profit, and EPS all in line with our outlook for the full year, including the fourth quarter. We did this while completing our transformation and investing in areas that we believe support long-term profitable growth. Our full-year 2025 revenue increased 2.7% to $523.3 million, in line with expectations. Growth was driven by our platform successes across communications and computing, with revenue up 28%. This growth was partially offset by an 18% decline in revenue in industrial and automotive, which was expected as we successfully normalized channel inventory throughout the year. Our non-GAAP gross margin continues to reflect our value proposition to our customers and expanded 190 basis points to 69.3% in 2025. We improved revenue and gross margin in 2025 even as we reduced non-GAAP operating expense approximately 1% to $213.5 million. As we completed our restructuring, we made targeted investments in talent, infrastructure, and technology to give us a more robust and efficient platform to drive long-term growth. As a result, in 2025, our non-GAAP operating margin expanded 340 basis points and our EBITDA margin increased 320 basis points to 35%. We delivered non-GAAP EPS growth of 17% to $1.05, demonstrating leverage in our business model by growing earnings faster than revenue. Other metrics improved accordingly. In 2025, GAAP net cash flow from operating activities increased to $175.1 million, up from $140.9 million in 2024, with GAAP operating cash flow margin improving to 33.5%, up from 27.7% in 2024. Free cash flow in the full year 2025 was $133 million with a 25.3% free cash flow margin, up from $120 million and 23.5% in 2024. Focusing specifically on Q4, our performance started to ramp, and we will continue into 2026. In Q4, revenue hit $145.8 million, an increase of 9.3% quarter-on-quarter and 24.2% on a year-over-year basis. Growth was driven by a record performance in communications and computing, up 25% sequentially and 60% on a year-over-year basis. We are clearly benefiting from the exceptionally strong data center growth as Ford discussed. Q4 gross margin was 69.4%, slightly down from Q3 on a non-GAAP basis. Our gross margin, even as our mix shifted, continues to reflect the value and differentiation our products provide for our customers. Non-GAAP operating expense was up to $56.4 million, up roughly 5% sequentially and 7% on a year-over-year basis. As Ford and I have stated previously, we see significant near and long-term opportunities and are investing to expand our future leadership in the small and mid-range FPGA markets and our companionship program. Our Q4 non-GAAP operating margin expanded 170 basis points to 30.7% and our EBITDA margin increased 90 basis points to 36.5%. Q4 non-GAAP EPS grew 14% quarter-on-quarter to $0.32, in line with our guidance. GAAP net cash flow from operating activities for the 2025 increased to $57.6 million, up from $47 million in Q3, with a GAAP operating cash flow margin of 39.5%, up from 35.3% in Q3. Free cash flow in Q4 was $44 million with a 30.2% free cash flow margin, up from $34 million and 25.2% in Q3. This remains a focus area for Lattice, and we expect the trend of increased free cash flow margin to continue. We are achieving these improvements while strategically investing in CapEx in support of R&D and operational improvement projects. One last point on results: we achieved our overall target level of channel inventory and are well positioned to benefit from growth in all the end markets we serve. Now let me turn to capital allocation. Our balance sheet remains strong, as our operations have improved our cash flow generation, and we remain debt-free. We have ready access to capital if we need it. This leaves us well-positioned to navigate macro uncertainties and invest for future growth. Given our balance sheet strength and our business model, returning capital to shareholders remains a key component of our capital allocation strategy. For the full year 2025, we repurchased approximately 1,800,000 shares or $100 million of the company's common stock. As we completed that repurchase program in Q4, our Board of Directors authorized the company to repurchase an additional $250 million of its outstanding common stock. Now for our guidance, which has our typical detail for Q1 2026 and additional commentary to help frame expectations for the full year 2026. For both Q1 and the full year 2026, our outlook reflects the exceptional strength we are currently seeing in demand. In Q1 2026, we expect revenue to grow into the range of $158 million to $172 million. At the midpoint of this range, this is 37% growth from Q1 2025 and 13% over the prior quarter. Gross margin is expected to be 69.5% plus or minus 1% on a non-GAAP basis. Non-GAAP operating expense is expected to be between $59 million and $61 million. Most of the growth in OpEx will be in R&D and reflects disciplined investments to drive future growth. An income tax rate for Q1 is expected to be between 46% on a non-GAAP basis. Non-GAAP EPS is expected to be in the range of $0.34 and $0.38 per share. Regarding the full year, we begin 2026 excited about the catalysts driving multiple growth opportunities ahead of us. I would like to share with you our financial framework for the year. We have stated previously that we are highly confident that we will grow at least 20% year-over-year, and the start of the year indicates that we have improved visibility to growth above that. We plan to update you with more specific guidance as we move through the year. Our gross margin for the full year 2026 is expected to be in the same range as we are providing for Q1, with perhaps some fluctuations during the year as customer mix varies. On OpEx, we continue to see significant opportunities to expand our leadership in small and midrange FPGAs. These investments, primarily in R&D, drive the increase in OpEx in Q1. We expect another increase in Q2, but then slower growth in the second half. We have a tight grip on the knobs and levers that control OpEx and will adjust as necessary to hit our profitability objectives. Our income tax rate is expected to be between 47% on a non-GAAP basis. With channel inventories now normalized, revenue in 2026 should more closely track consumption, setting up a strong environment for growth in 2026 and beyond. We will continue partnering with our channel to support end customer demand while reducing channel inventory where appropriate. For internal inventory, we are deliberately building inventory to support this growth environment. Because we see such strong growth potential and our products have long life cycles, we see a low risk of obsolescence.  In closing, we remain focused on executing our strategy and making investments to strengthen our leadership in small and mid-range FPGAs. We are highly confident in driving revenue growth while growing EPS at a faster rate. Operator, that concludes our formal remarks. We can now open the call for questions.
Operator: Thank you. We will now be conducting a question and session.
Ruben Roy: Thank you. Ford and Lorenzo, congrats on a strong finish to the year. I guess, for the first question, Ford, if you could walk us through, obviously, really strong server growth and you've talked about the dynamics in the data center. And I guess the MVPs out there. Thinking about how you're looking at that business going forward, we've heard a lot about server CPU strength from some of the CPU vendors. There have been some supply constraints in the mix. So maybe you could frame those dynamics as well as your growth relative to unit volumes versus dollars of content per server? Thank you.
Ford Tamer: Thank you, Ruben. Yes, we do see demand being strong for the foreseeable future. It is driven by the CapEx growth, it is driven by our attach rates, is driven by the increased ASP, and is driven by the increased number of applications that we're finding in these servers. And so, at a high level, as we look at server units, growing from, call it, the 15.3 million units total, to call it, 16 and a half million units in 2026, our attach rates have been steadily going up every generation. So in the 2024 time frame, we were in the mid-1s. And as far as attach rate, last year, we were in the mid-2s, and this year, we'll pass three units per server, FPGA units per server. So, you multiply this by the number of server units, our attach rate growing, and our ASP is growing as well from the $3, call it, to above 4. You put all this together and you could see that this is driving an overall very nice increase in that business.
Ruben Roy: Great. Thanks for the detail, Ford. Lorenzo, maybe, just a follow-up on the guidance for Q1, very strong guidance. Can you walk us through sort of assumptions by segment? It sounds like we're finally seeing some recovery in industrials and automotive, and obviously, communication and compute continues to grow, but maybe you could parse that out for us, please. Thank you.
Lorenzo A. Flores: Yeah. I think in aggregate across the business, we're just very, very positive about the trends we're seeing underneath it. Of course, the OMS and compute areas of our business are the leaders in our strength. But as we said, we've gotten our channel inventory down toward our target, and we expect to see growth there as well.
Melissa Weathers: Hi. Thank you for the question, and congrats on a nice outlook. I know it's taken a lot of work to get here. I guess, I'm gonna try on the revenue side. It doesn't sound like you guys are super willing to give full-year guidance for 2026, but last quarter, you indicated comms computing could be up 20% to 40%, I think, and industrial up 5% to 15%, if I remember right. You're starting off the year a lot stronger than that. So, just in terms of magnitude, is there any other color you can help us with? And how to think about which of those grows faster and maybe where total revenue growth could shake out for '26?
Ford Tamer: Yeah. We're very strong. Our conviction has increased in demand in both segments, Melissa. So first, thank you for the question. And yes, the demand environment is much stronger now than it used to be three months ago. Across both the comms and compute and industrial markets. So in the comms and compute, as we said, we are very well booked for the year and now booking into '27, so great visibility. And the industrial automotive, where we are shipping to the true demand. The inventory in the channel is under three and would be in the twos in Q1. So, we're confident in the growth in both segments.
Melissa Weathers: Got it. Maybe as my follow-up, you spent a lot of time in your prepared remarks on the physical AI opportunity. I think the companion piece and the attach rate in data centers is pretty easy for us to follow, but it's a bit harder to figure out how big the physical AI opportunity could be. So, I don't know if you wanna frame it in terms of a TAM or some kind of units framework, but any way for us to help or help us size how big this physical AI piece could be? Because it seems like you're seeing a lot of momentum there.
Ford Tamer: Yeah. We're seeing tremendous momentum there along with this companionship strategy. So, we are very strong with companies like NVIDIA that have we publicly announced together the Holoscan design reference design where we feed different video streams into the FPGA and into the NVIDIA processors. We've made some great progress in our companionship strategy with NXP, along with the microprocessors. We had an event in Europe in January where the top industrial, automotive, telecom, and aerospace defense companies in Europe joined us and NXP at a joint event where we launched the year. We're making progress with quite a few other partners on the sensor side, on the analog side, and others on the microprocessor side. So stay tuned on those. The potential expansion is vast because we are gaining share in markets where we were not big players. For the best example is aerospace defense, that has gone from very little content in '24 to we expect a very big year coming in in '27. Across all geographies, US, Europe, Asia, all geographies are observing some very strong design wins in aerospace defense with our new red hard and red tolerant designs. In industrial robotics, we continue to grow in industrial robotics, and AMRs. The humanoid opportunity is vast. We are winning across the board in vision. So we've done very well in vision in humanoid. And we have gotten two marque design, a motor control, and we see this as a beachhead as a teaching customers on how we're gonna make progress because the latency, determinism, parallel performance, accuracy of FPGA hardware-based solution is vastly superior to the alternative. And so we're very excited about what humanoids can mean for us as a market going into '27. We've also made great progress in robotaxis. So we have a win in robotaxis that we're, again, very excited about going into '27. We're making progress in medical and telecom across the board in physical AI. So I think it's hard to give you as clear of a metric as we can on the server because the applications are so much more diverse and a much more broad-based across our 11,000 customers and really broad-based channel reach. But we're very excited about the opportunity in industrial and with advanced coming in, in 2027.
Quinn Bolton: Hey, guys. I'll take a shot at 2026. And just looking at the segment guidance you guys talked about last quarter of 20% to 40% in comms and compute and the 5% to 15% in industrial and automotive. It looks like just based on the strength of the first quarter guide, you're probably tracking to at least the high end of those ranges, if not above. Wondering if that's the right way to think about growth in the respective segments? Or do you think that one of the segments is significantly stronger than what you were thinking ninety days ago?
Ford Tamer: Yes, and thanks.
Quinn Bolton: Hey, Quinn. Thanks for pointing out that, you know, we talked about this ninety days ago. And I think you should have picked up on, you all should have picked up on, during our commentary, our confidence, and the basis of our outlook has strengthened considerably over the last ninety days. So, I think the overall view that the comms and compute will be the fastest growing of our end market sets maintains, but we're also seeing improvement across the board in our industrial end markets as well. And in all geographies.
Ford Tamer: Yeah. Quinn, the one thing I'd point out is that if you use the high end of the guidance we gave you last quarter, you still don't get to the revenue we need to get to this. So, you can imagine we're on the higher end or above that, the high end on both markets.
Quinn Bolton: Yeah. I would think you're probably at the higher end since you beat more by almost $20 million relative to consensus. Okay.
Ford Tamer: And then, I guess maybe Ford, you mentioned in response to one of the questions that you're booking, you're pretty much all the way booked through 2026 in comms and compute. Starting to book into 2027. Can you just talk about one, kind of lead times? Are they stretching out? Are you comfortable with lead times? And given that you're already booking out to 2027, is there any indication that you may be starting to pick up double ordering given that you're booking that far out at this point?
Ford Tamer: Yeah. Quinn, as you can imagine, this is a very important question. We spent a lot of time as a management team, as our channel partner, with our customers, across the globe. Really digging into this question. And we, at this point, do not believe there's double ordering. I mean, we believe that what's giving us confidence is these orders are being scheduled throughout the year. So, it's not like these are all bunching up in Q1. This is scheduled throughout '26 and into '27. So you could see five, six quarters out as far as orders. Obviously, the lead times have increased for us and everybody else in the industry. We have been very forthcoming and proactive with our customers. And pointing out these increased lead times. And I think we're doing a service to our customer by pointing these out. We're seeing competitors that may not be as forthcoming and we we're being very forthcoming and making sure that we work hand in hand with our suppliers and our customers to deal with the situation. And you know, we've been ordering substrate and putting incremental orders in place since this summer. So we've been, like, for the past six months now, increasing our supply, our orders to our suppliers and putting us in good shape to weather this next few months.
Christopher Rolland: Hey, guys. Thank you for the question. Maybe just piggybacking Quinn's around M and as well. I think INA was perhaps a little bit disappointing last quarter. Do you think there was some inventory burn there? And then looking forward, like, is this a trough growth rate and we build from here potentially even with some inventory build on top of that, like, what do you guys view as kind of the normalized no inventory burn, quarterly rate for INA that we can build off of? Thank you.
Ford Tamer: Yeah. So I'll give you the construct that we look at it. One is, till the inventory overall inventory number that we talked about was obviously our aggregated number at the end of the year across all of our end markets and our distributors.
Christopher Rolland: And if you go back from where we started, you know, it worked down first in comps compute and then as you pointed out, in industrial and auto. 
Ford Tamer: What we have seen now is have a drive, in some cases, across all end markets from our channel partners to build inventory. So we're gonna continue to manage it down with the end objective not really being channel inventory, but getting to the right levels of customer support and responsiveness. So there will be times when might have to go up, to support, demand that's expected, and there'll be times when we're gonna continue to manage it down tactically. So, I don't think it would be actually that useful to give you another number to baseline off of.
Christopher Rolland: Okay. Thank you. And then Ford, maybe a two-parter for you. I think you gave some data that was server CPU, but I was wondering if you could maybe talk about FPGA to XPU, or processor, you know, AI processor attach rates, like where they've been and where you think they're going? And lastly, you've talked about Lattice being a larger company, perhaps via acquiring new IP and capabilities. I was wondering if maybe you could give us an update there, particularly in light of TI buying Silicon Labs.
Ford Tamer: Yeah. Chris, good question. I talked about the number of server units, not the number of server CPUs. So, the 15.3 million units in 2025 going to 16.5 is our estimate based on market research of the number of server units, TAM. Out of that total TAM, we have said in the past that our attach rate in 2025 was about 12% AI server is what we've seen. And it seems to be about correct. The 12% AI servers corresponded to a roughly high teens, call it 20% of revenue. So it gives you a feel that the AI server has a percent of revenue higher than the traditional servers. Recently, we've seen a nice pickup in traditional servers. So traditional servers even are growing faster than expected. So across the board, we're seeing some nice growth. And on the inorganic side, you know, we have actually completed four little tuck-ins that we have not publicly discussed. They're all small, IP and software-type tuck-ins. And we're still working on a few more of these tuck-ins. Software tools, IP solutions enablement is what we're investing in right now. And we'll continue to do the small tuck-ins. The larger acquisition is something we want to do, but we want to take our time to do the right one. All the stars have to align. It has to make sense strategically, accretion, you know, and the teams need to all want to work together. So there's a lot of different factors, but we're not in a hurry. As you see, the business is very strong, so we'll do it at the right time.
Kevin Garrigan: Yeah. Hey, guys, let me echo my congrats on the strong results. Hey, as you continue to gain share and companionships in the data center, are you seeing any increased competitive pressure or pricing aggression from some of your competitors trying to reclaim these sockets?
Ford Tamer: So Kevin, we based our strategy on the customer. So we always go customer first. We make sure that we sit with our customers on how we're going to provide a solution that would provide the maximum benefit. Enable them to grow their revenue, increase their success in the marketplace. And we're very, very focused on providing them low power, small size, low cost, fast boot time, longevity, and a whole bunch of attributes that we believe differentiate us in the small and mid-range FPGA compared to competitors. So we have seen our market share grow, and we expect it to continue to grow. And so in that small to mid-range FPGA, we feel very strong in our market share and convicted about where we are.
Kevin Garrigan: Got it. Okay. Yeah. That makes a ton of sense. Then, for us, as you look out to the rest of 2026, I mean, you guys are firing on all cylinders. You know, what keeps you up at night? What could potentially kind of derail the Lattice story?
Lorenzo A. Flores: I think, at this point, what keeps us up at night is our own search. So we just meet with some very ambitious plans on what we're investing in and what we need to execute and deliver on. And extremely focused on delivering to those plans. We want to make sure that we have the supply for our customer. We want to make sure we continue to be a good partner in what we call the three S's.
Ford Tamer: The, you know, solutions, support, and supply, and supply. And so these three S's are very important to us. Especially in an environment like today, where the supply is short. So we're spending a lot of time ensuring that we provide the correct supply. And we want to continue to be good partners. So I think the biggest thing we worry about is our own self executing to our plans that are pretty ambitious.
Kevin Garrigan: Yep. That makes a ton of sense. Okay. Perfect. I appreciate the color. Congrats again on the results.
Ford Tamer: Thanks, Kevin.
David Williams: Hey guys, thanks for taking my question. Last quarter, I think you mentioned a record level of design wins measured in lifetime value. I'm just curious how those tallied in the fourth quarter. And then as you sort of look back on fiscal year 2025, tallied the lifetime value of all those design wins, what kind of revenue growth rate is that supportive of?
Ford Tamer: Yes. Thank you, Gary. We have continued to get to record design wins. Every quarter, we continue to get to record design win. We had another record design win quarter in Q4. And so we continue to tally a larger number of design wins that are going to production this year and next year in '28. So that sets us up for multi-year growth, supporting at least a 25% growth.
Gary Mobley: Appreciate that, Ford. I don't know how important this is or not, but I did notice that the revenue bracket in the guide this quarter is $14 million when it's normally $10 million. Is there anything to call out there? Is there maybe if you can just sort of look at the puts and takes for the lower end versus the high end of the guidance range?
Rick Muscha: No. It really there's there's a couple of aspects of it. One is just the quantitative view as as the revenue grows higher, you know, you looking at a similar band around the center point and you get to a higher number. The other is there are you know, as we look at what the revenue potential is when we were preparing it, you had different potential scenarios into what we would be delivering to customers and what timing it would go through the through the quarter.
Lorenzo A. Flores: So I would say we're really, really comfortable with the midpoint of that. And, so I think the issue is, you know, how the linearity looks during the quarter. But we're very comfortable with that as well.
Joshua Buchalter: Hey, guys. Thanks for taking my question. Congrats on the results and guidance. I think my a lot of my peers have tried to get some more color forward -looking and failed, so maybe I'll try to go backwards. If we, you know, look back at 2025 in the comms and computing segment, can you maybe walk through some of the growth drivers that took you from sub-60% growth rate in 1Q to above 90 in 4Q? You know, any sort of rank ordering some key sockets or whether we could think of GPU versus CPU versus ASIC, and the order of magnitude of how much the PC headwind was in the beginning of the year. Just any help as we think about how you guys are aligned moving forward would be, I think, be very helpful.
Ford Tamer: Yeah. For sure. So at a high level, if you look at how we help to try and frame the growth in the comms and compute, we did break up the growth in server from the growth in wired comms, right? So the growth in server year-on-year was 85%. And so you could see this is our fastest growing segment was the server segment in the comms and compute. The second one the overall comms growth was 61%. But within that, this includes wireless. So the wired comms is ahead of that. So you could see the number two growth vector is the wired comms. And then within those two, so if server is number one and the wired comms is number two, within the server, the fastest growing piece is the AI server piece of that business. And on the AI server piece of that business, we discussed the various factors. So we discussed, number one, the CapEx. So CapEx growing into the year and CapEx at the end of the year was significantly higher than entering the year. And we've seen the same phenomenon happening in the past three months. It seems like, Josh, this is going even faster. So we got into December thinking that 2026 CapEx be for the top five hyperscaler would be $500 billion. In January, we thought it'd be closer to $580 billion. And post earnings now, it's at $740 billion. So just within a space of December, January, and early February, we've seen now that number increase significantly. We had the same phenomenon entering '25 and ending '25. So that CapEx number kept growing through the year. Number two, we have design win with all of the GPUs as well as the AI accelerators. And every generation, our content increases. So as you go from a generation of NVIDIA to the next one, as you grow a generation of CPU, a generation of Meta and Amazon and Microsoft all of our attach rates are growing from one generation to the next. So as you go through the year and the new generation get introduced, that's a number two. Number three is the ASP. ASP as you go, we have new parts that are being adopted for security. So we have a bunch of new applications. We entered the year, for example, with a strong application in boot, power sequencing, control, IO, connectivity, which is the bread and butter FPGA. As we progress through the year, we start being adopted for more attestation and more post-quantum cryptography. And leakage detection is an application that we've discovered in the second half of the year and is being rolled out. Because we're so it was such a good latency in being able to detect the leak and stop the leak. That, you know, we're being rolled out as soon as they find out because it's a very critical piece of this AI infrastructure. So these attach rates continue to grow. And as these attaches continue to grow and we go to these larger types of security-type applications, it is driving the attach rate for larger FPGAs, which then means it's a larger ASP. So you could see the compounding effect of all these factors together driving to a higher and higher dollar factor. And you're gonna see this continue in 2027 '26 and '27. All right. So we're excited about where this takes us in the future.
Joshua Buchalter: Thank you for all the color there. A follow-up, you know, maybe I'm screwing up the arithmetic. But if I apply that 70% new product growth rate to, I think, the mid-teens level you hit in 2024, I'm getting comfortably over 20% exposure from new products in 2025 already. I guess any help you can give us on where you expect new products to land in 2026? I think you said more than 20%. Is part of this just that pre-Nexus parts are coming back now that they're corrected? Or should we still expect new products to outgrow Prenexus parts? Thank you.
Ford Tamer: Yeah. So your math is correct. You've done the right math. So good job. We did pass the 20. We're in the low twenties as a total percent. So you're right. That 70% year-on-year growth puts us in the low twenties as a percent of total revenue in 2025. And we expect that to go in the mid to high end of the 20% in '26.
Joshua Buchalter: Okay. Thank you.
Srini Pajjuri: Thank you. Congrats, guys, on a solid quarter. Joined a little late, so I apologize if this question has already been answered. So, Ford, my question is on the supply side. I know you talked about demand being much better than expected. So, just wondering if you're seeing any supply constraints on your side or any other component shortages such as memory, etc? If those shortages are having any impact on your business?
Ford Tamer: Yeah. So the first part of the answer was already answered. I'll answer it again. And the second part is new, Srini. So thank you for the question. So first on the supply side, as I said, we are committed to our customer in three S's: support, supply, and solutions. And we've been ordering more materials since the summer. And I've seen the lead time increase consistently from the first half of last year to the second half of last year to the end of last year and now even increase very, very fast, continuing to increase. We've been very forthcoming with our customers and given a heads up on this. And, you know, we're in relatively good shape, but there are obviously areas like substrate and assembly that are very tight across the board. And we're working with our customers, with our suppliers, with our partners in the channel partners to make sure that we do the right allocations and make sure there's nobody's lying down. But it's definitely a very tight situation right now. On the second part of your question, which you asked about the memory, we've asked this question now many, many times to our customers, and they assure us that they've got supply agreements with their memory suppliers that then that the forecast into Lattice are comprehending that memory supply situation. So we've obviously spent a lot of time on this to make sure that you know, our demand was solid and we are being assured by all the major cloud service provider, OEMs, ODMs that they've got the supply locked in with their supply agreements.
Srini Pajjuri: Got it. Got it. And, Ford, at a high level, you know, strategically, you seem a bit more open to larger M and A. So just curious what the criteria would be for you because, you know, I don't know if there are a lot FPGA companies out there that you could look at. So I'm just curious, you know, what are some of the metrics and end markets, etc? And then also, one of the concerns in the industry is that, you know, we need a regulatory approval, particularly from China for any sort of larger deal. Do you think the environment is changing when it comes to the regulatory side?
Ford Tamer: Yeah. Thank you, Srini. So I did answer the question. I'll answer it again, we actually have done a number of small tuck-ins. We did four small tuck-ins on the software tools and IP that we haven't publicly announced. But because they're small. And working on a couple more of those. So we really like these small tuck-ins because they do not require approval and are pre-strategic, pre-accretive, and adding some very important skills in IP to our toolset and our team. So we've done them. We'll continue to do them. And no regulatory approval is needed. For the large M and A, we've been open about the fact that we would do one in the future, but we're not in a hurry. A whole bunch of factors have to align. The stars have to align, which is number one is strategic Number two, it has to be accretive. Number three, the business model has to make sense. And number four, the teams have to get along and we need to have some synergies, both top line, bottom line, product roadmaps. So all these factors, and you regulatory is one extra one. So we're being patient. Right now, the good news is the business is extremely strong on our organic side. So we're not in a hurry to do one.
Srini Pajjuri: Thanks, Ford. Good luck.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Rick Muscha for any closing remarks.
Rick Muscha: Thanks, everyone, for joining us on the call today. We will be attending the following investor events this quarter: the Susquehanna Technology Conference in New York City on February 26 and the Morgan Stanley Technology Media and Telecom Conference in San Francisco on March 4. This completes our call. Thank you very much for your participation, and have a great evening.